Stéphane Richard: Welcome to the presentation of our 2018 results. I will first present the main highlights for 2018, and then I'll leave the floor to Ramon to go through the details of those results. So I suggest we start with Slide 4, which presents the main achievements for the year. In 2018, we have pursued our ambitions to offer an unmatched customer experience through connectivity and reached an innovative services and customer relations. In a highly competitive environment, 2018 was a very successful year for Orange. We have strengthened our networks with the largest fibre network in France, making us the leader in Europe with more than 29 million FTTH connectable homes. We have been ranked the best mobile network in France for the eighth consecutive year. We now have 4G in 12 countries in Africa and the Middle East. 2018 has also been the year for the first 5G field trials. Orange moved from the lab to the field, and performed end-to-end technical trials. It is noticeable that our networks are getting ready for 5G. For example, the mobile network in France has already more than 90% of the radio science connected by fibre, and our all IT program reached 92% of broadband access over IP. We offered our customers richer connectivity by increasing data speed by 32% on fixed and 24% on mobile in 2018 versus 2017. From December 2014 to December 2018, the average data speeds of our customers increased by more than plus seven or multiplied by seven on fixed and multiplied by three on mobile networks. Content is also essential for Orange to consolidate its position as a leading multiservice operator. At the end of 2018, we had 9.6 million IP-TV customers, and Content's revenues have increased by 14% year-on-year with a positive gross margin. OCS, our pay-TV channel, celebrated 10 years and near 3 million customers. In Spain, Orange reinforced its position in football contents, which boosted broadband's net adds. We pursued our diversification strategy as multiservice operator through, first, mobile finance services in Europe and in Africa. Orange Bank reached 248,000 customers in France at the end of December 2018, with a record level of account openings in Q4 '18. Orange Money has become one of the world leaders in mobile money with 39 million customers, and thanks to mobile JV with MTN, we are now providing interoperability across the continent. We also continued to diversify into new B2B services by acquiring Business & Decision, Basefarm, and more recently, SecureData to strengthen our position in the Big Data cloud businesses and cybersecurity, respectively. The recent acquisition of SecureData is another step forward to establishing Orange's position as a leading player in the European cybersecurity market. We finally created a JV with Groupama, a well-established player in this segment called Protectline to reinforce our position in home security. We plan to launch this service for the consumer market in the spring of 2019 for both fixed and mobile customers in France. Orange aims to take a strong position in these markets, building on own its subscriber base, its brands, its physical and digital retail networks, and its extensive expertise of Protectline. Let's move to Slide 5. To give you highlights of our commercial performance. Thanks to convergence, fibre and 4G, we delivered a very solid performance in the commercial area last year. We thus remained the one convergent operator in Europe with 10.9 million convergent B2C customers and double-digit growth in convergent revenue at plus 10% year-on-year. Convergence has reached 60% penetration in France, 85% in Spain, and 57% in Poland. As you know, convergence is a strong acquisition and retention tool, meaning lower churn, higher ARPO and increased volume, thanks to the multiline approach. In fixed broadband, the main highlights are: first in France, we posted another record year in fibre net adds with plus 593,000 net adds year-on-year, reaching 2.6 million FTTH customers in this market. Once again, Orange was a leader in conquest share every quarter in 2018. Then in Spain, our leadership in fibre net adds combined with the new football offers, maintained a positive BB net adds trend initiated in Q3. Overall, we remained a clear leader in the FTTH customer base in Europe. In Mobile, in Belgium, leveraging our excellent 4G network, we were the first operator to launch unlimited data offers for a net adds record in Q4, while reducing the churn rate by more than 20%. Overall, in Europe, we remained the leader on the 4G client space in 7 countries out of 8. In Africa and the Middle East, 4G developments accelerated with 50% growth in the customer base year-on-year, reaching 17 million customers. Slide 6. Of course, this performance has been - has made possible, thanks to the still large investments efforts. We have been focusing our resources to keep on this pace of investments. So in line with our objective of providing the best quality network and services, 2018 was another year of investments in future growth through CapEx, spectrum, selective contents and innovation with group CapEx growing to €7.4 billion, perfectly in line with our guidance. Almost all of this growth came from network CapEx and was split roughly half, half between fixed and mobile. Most of the growth in very high broadband CapEx was linked to the cyber deployments programs in France and in Poland whereas they decreased in Spain. At year-end, the number of very high broadband connectable homes reached a group total of 32.5 million, a growth of 22% over 2017. And 2.7 million new connectable homes were added in France, 1.9 million in Spain, 900,000 in Poland, and almost 400,000 in Africa and the Middle East, of which 200,000 in Jordan. Most of the CapEx increase in 4G was linked to the extension of coverage in France, Poland and the Middle East and African region, particularly Mali, Morocco, Senegal and the Ivory Coast. In France, Orange had around 19 active 4G sites at the end of 2018, growing 27% over the year. Our network superiority was once again recognized by the French regulator's annual mobile survey. So all in all, next slide, we have fulfilled clearly our 2018 guidance. Fully in line with this guidance, we have confirmed the relevance of our strategy with a slight acceleration in group revenue growth at 1.3% versus 1.2% in '17, and acceleration in group adjusted EBITDA at plus 2.7% versus 2.1% in '17, and an acceleration in group operating cash flow at plus 1.7% versus 0.5% in '17. At the same time, we kept a strong balance sheet. Even if we exclude the ePresse audio books impact in '17 and '18 on content offers in France, the acceleration in revenue growth and adjusted EBITDA is still a reality. CapEx was in line with our guidance at €7.4 billion. Our net debt to telco-adjusted EBITDA ratio increased to 1.93x, in other way, reflecting our investments efforts that we keep, of course, the targets of around 2x regarding this ratio. Regarding the dividend for fiscal year 2018, we proposed 70% - €0.70, sorry, per share, which represents €0.05 increase on the previous year, and we repaid the balance of €0.40 on June 6 of this year. So as you can see, all components of our guidance for 2018 was fulfilled. And this is the reason, basically, where we are very satisfied with this set of results. Let me now hand over to Ramon, who will provide you with more details on those results. Ramon?
Ramon Fernandez: Good morning. So as Stéphane said 2018 was a year of acceleration for revenues, EBITDA and operating cash flow. In Q4, our group revenues increased by €148 million, which is an increase of 1.4% year-on-year. And as Stéphane just said the ePresse audio book effect became a headwind in the last quarter. It will also be a headwind going forward because the trial offer closed in January 2019. Excluding this impact, Q4 revenue growth would have been at 1.6%, as you can see on this chart, representing a strong improvement compared to the previous quarters. Thanks to solid operational performance in all our geographies. In 2018, Africa and Middle East provided almost half of group revenue growth with 5.1% growth, a trend driven by mobile data and mobile finance services. The Europe segment showed an accelerated momentum, thanks to the success of our convergent offers, our innovative mobile offers in Belgium and our turnaround in Poland, going back to growth for the first time in 12 years. France grew revenues on a full year basis for the second consecutive year. Enterprise revenues showed resilience with cloud and security services posting double-digit growth in 2018. And wholesale business was back to growth in Q4 at plus 3.4% with positive contribution from FTTH fallout in France and the end of the European roaming impact. Going to the next slide on EBITDA. And looking at the adjusted EBITDA of telecom activities, Q4 grew by 2.6%. This is an increase of €84 million. In Q4, excluding the impact of the ePresse audio books, adjusted EBITDA would have accelerated to a plus 2.8% on telecom activities versus 2.2% in Q3. The full year 2018 adjusted EBITDA growth was driven by the outstanding performance of Spain, plus 8.4%; France, 2.9%; and Middle East and Africa, plus 5.2%. Our cost efficiency plan gave us the flexibility to maintain our commercial efforts to continue to enrich our content portfolio, supporting our performance in 2018. We continued also our efforts on other costs such as labor costs, maybe in France and Poland with group full-time equivalent employees decreasing by 2.6% in 2018 for telecom activities. This is at group level 2.5%. Now let's look at the impact of our cost-efficiency plan, which along with the positive revenue trend helped fuel the EBITDA margin increase of plus 0.6 point in 2018. Next slide on the efficiency cost plan. You know we had a target of €3 billion gross savings over the period 2015, 2018 when, in fact, we have exceeded our target by €500 million, and we reached €3.5 billion in savings over 2015, 2018. I will look first at OpEx and then at CapEx. On OpEx, the main areas of contribution to savings over the period were network, customer management, distribution and IT. And as you can see on this slide, all geographies contributed to the savings generated by the program. Our efficiency program had a strong focus on customer satisfaction and simplification with digitalization as a key lever and translated in key operational achievements. One of the main areas of our program was the improvement of customer care, thanks to digitalization, which is now reaching a rate of 52% of digital interaction in Europe, thanks also to process simplification. Over 2015, 2018, we reduced the call rate by 1/3 in Europe. Of course, when I took off Europe, it includes France and Spain. We reduced the cost of customer care to revenue ratio in Europe, for instance, by 1.3 point in France, by 1 point in Spain while keeping a strong focus on customer satisfaction. This came along with a more efficient and a digitalized distribution channel, where we optimized the number of points of sales by 20% while addressing time, modernizing our shops and including new services. These initiatives also reduced commission charges, allowing a decrease of 1.5 point in the cost of sales to revenue ratio in France over 2015, 2018. On the network side, the key drivers were digitalization, simplification and pooling. For example, mobile run and infrastructure sharing increased from 49% to 54% over the 2015, 2018 period with significant savings in Poland and Romania. We also increased our fixed network sharing in Spain. One of the outcomes of these efforts is that the intervention intensity per technical people increased. For example, in France, by 11%, while customer satisfaction remained high. As part of our IT transformation program, we made significant progress in the modernization of our IT solutions and tools with a significant increase in the number of use cases of Big Data; the consolidation of data centers, their number decreased by 7% since 2015; the streamlining of our internal applications, we're down by 12% in France; and also the implementation of agile organizations. As announced at our last Investor Day in December 2017 in London, we launched another efficiency program with a target of €1 billion in OpEx savings over 2019, 2020. Second, on CapEx. You know that we launched, in 2017, a lean CapEx program which aimed at reducing unitary costs by 15% compared to 2017 baseline. This is, again, an objective of €1 billion in 2020, part of which will be reinvested to consolidate our network leadership. Some major initiatives have already been launched such as a unique internet box for all our European countries that will deliver more than €100 million of unitary cost reduction by 2020. Together, with the optimization of TV set of box production, delivering another €200 million unitary cost reduction by 2020. Another area of opportunities is the design of fibre rollout process in Europe, where we leverage on each country's best practices. For example, we are empowering subcontractors, developing further turnkey model, allowing economies of scale and scope. This should create around €200 million unitary cost savings by 2020. Now looking at operating cash flow, and this is the next slide. Thanks to this top line growth and our ongoing efforts on costs, and despite growing investments, especially in FTTH, the group operating cash flow accelerated in 2018 with an increase of 1.7% compared to 0.5% in 2017. As we have already said operating cash flow and operating return on capital employed [indiscernible] are a priority for management. In 2018, our telecom operating wholesale grew by 0.6 point compared to 2017, meaning that we delivered on all our financial targets announced at our Investor Day. This performance led to a consolidated net income of €2.2 billion that grew by 5.8%. This is mainly the result of a better adjusted EBITDA as well a better reported EBITDA, despite a charge of €669 million related to a new senior part-time program signed in 2018 related to the period 2022, 2024. Thanks also to less impairments in 2018 than in 2017 and to less depreciation of BT shares that have impacted 2017. Those positive effects have been partly compensated by the reversal effect of the tax income we received in 2017 related to the court ruling over the 3% tax on dividends. Turning to Slide 14. In 2018, EBITDA growth enabled us to maintain a leverage at 1.93x, fully in line with our guidance. In 2018, our net debt at €25.4 billion increased versus 2017 as a result of our strategy of investments in FTTH 4G and also selective M&A transactions, essentially the acquisition of Basefarm and Business & Decision. Our solid balance sheet enabled us to both step up our investments and also to meet our dividend guidance with the reproposal of a further increase of €0.05 for 2018. Our liquidity position remained strong with €14 billion at the end of December of which €7.8 billion in cash. And in January of this year, in accordance with our active and opportunistic liquidity management, we issued a multi-tranche bonds for the equivalent of €4 billion, covering the majority of the 2019 debt repayments. Now let's look at our business review, our operations. Starting with France on Slide 16. In the context of strong promotional intensity in Q4, Orange registered a very resilient total revenue growth plus 0.1%. If we exclude the ePresse audio book effect, revenues accelerated to plus 0.5%. It was around 0. It was even minus 0.1% in Q3. Retail services, excluding PSTN, grew at 0.8% after plus 5% in Q3 of 2018. Convergent services revenue grew by 4.6%, thanks to the growth of the convergent customer base at 2.6%. And to the growth of our convergent ARPO, which stood at €65.5 per month. This is an increase of €0.40 year-on-year. Both mobile only and broadband only ARPOs decreased, mainly because of the migration effect to convergence, which resulted in higher Sosh mix and also because of limited promotions. Equipment sales revenues decreased to minus 3.4% after plus 2.6% in Q3, impacted partially by lower-than-expected volumes in high-end smartphones, essentially because of a negative phasing effect this year with the commercial launch in Q3 2018 versus Q4 last year. Wholesale revenue grew at plus 2.8%, thanks to growth, both in mobile and fix. Mobile wholesale revenues grew despite the negative impact of national roaming, thanks to the price elasticity of a visitor roaming and MVNO revenues. Fix and other revenues grew as well, driven by the FTTH rollout, notably in the PIN area. As a result, France posted an adjusted EBITDA growth of 1% in H2 and 2.9% full year. All the digitalization efforts that we have been making in France also made us more agile, allowing us to absorb the decrease of average full-time equivalent employees by 6% at the end of 2018. Turning to the commercial performance in France. This was another quarter with intense levels of promotional activities in both fix and mobile. However, promotional price points increased slightly compared to Q3, while our free competitors offered plans with lifetime discount prices. In this context, we adapted our [indiscernible] in Q3 with more flexibility, more services, allowing us to post a very resilient performance in Q4. On mobile, we recorded plus 111,000 contract net adds with balanced contribution from both Orange and Sosh. On the year-on-year basis, we stabilized mobile churn, which is quite a performance in this price environment. And we improved the premium customer mix by 1.9 point. On the fixed, we recorded 71,000 broadband net adds, thanks to fibre with 186,000 net adds, a record quarter. 46% of which were new customers, leading to a total base of 2.6 million fibre customers, reflecting the things that we are now covering a larger area with 11.8 million connectable homes, and we're back to a one position in the broadband market share in the Paris region, for instance. This good performance is also due to the success of Sosh. The Sosh dual-play broadband offer, which strengthens our presence in the low end of the fixed market. Turning to Spain. In this country, total revenue grew by 2.4% this quarter. Supported by the stabilization of retail revenues, thanks to a 1.9% growth in convergent revenues, thanks also to a recovery in equipment revenues at plus 0.5%. It was minus 2.1% in Q3, and also to an increase in international traffic that contributed to an 18% wholesale revenues increase. With 19,000 fixed broadband net adds, Q4 confirmed in Spain, the return to growth that we witnessed in Q3, thanks to first strong growth in our football customer base coming both from new acquisitions and customer upsell, leading to a 14% growth in the TV customer base. And second, thanks to the continued success of our fibre offers. With 162,000 net sales this quarter, Orange should maintain the leadership in conquest share for the tenth quarter in a row. Mobile remains under pressure in a market that's becoming more competitive. Contract net adds in Spain were negative at minus 37,000 this quarter, yet the churn rate improved on a year-on-year basis. The execution of our value strategy along with the focus on the cost efficiency allowed us to reach an 8.4% EBITDA growth over the full year, outperforming the market once again. The adjusted EBITDA margin also improved by 1.8 point, reaching 31.8% in full year. Just remember that when we launched the acquisition of Jazztel in 2014, the margin rate was below 25%. We are now close to 32%. Last, in Spain, CapEx was almost as stable in 2018 at plus 0.4%, leading to an impressive full year growth in operating cash flow at 28%. Let's now turn to the other European countries to the Europe segment where total revenues grew by 2.8% this quarter, supported by an ongoing positive momentum in retail services, up 2.7% in Q4 versus plus 2.6% in Q3 and 1.6% in H1. This momentum in retail services reflects our ongoing focus on convergence with revenues from convergence, which are currently 15% of our retail services, maintaining a strong 46% growth rate. Our focus on convergence was also visible in our commercial performance with both stronger mobile contract net adds at plus 163,000 this quarter. It was less than 100,000 the previous quarter. Thanks also to a stronger fixed-broadband net adds at 87,000 compared to 70,000 the previous quarter. Both outcomes are supported by steady improvement in the share of convergent contracts. From a country perspective, we are reporting our second consecutive quarter of revenue growth in Poland at 2.1%. Beyond the continuing success of convergence in this country, the key drivers for the turnaround were an improvement in nonconvergent mobile services, better equipment sales and stronger performance in IT and integration services. This, indeed, represents a new, a very encouraging milestone, which supports Orange Poland turnaround ambition. Once again, for the first time in 12 years, Poland is back to growth. Our revenue performance in Belgium and Luxembourg at Orange Belgium is also worth noting, with a stronger growth up 5.1% this quarter. It was 1.9% in Q3 and 0.9% in H1, mainly driven by an acceleration in mobile contract net adds supported by unlimited mobile offers in convergence. So a very good, also, performance in Belgium. And if you look at profitability, the trend in adjusted EBITDA improved significantly to 9.9% in H2 compared to minus 2.8% in H1. This improvement came as a result of both better revenues and also a better OpEx trend. And this was particularly the case in Poland, once again, where Orange Polska accounts in 2018 showed, for the first time, also growing adjusted EBITDA, exceeding its guidance of stabilization in 2018. Let's turn now to Africa and Middle East, which continued its growth momentum with revenue increasing by 5.2% in Q4 and accelerating in the full year at 5.1% growth. This solid growth was driven by the solid underlying trend in retail activities, fueled by data monetization, Orange Money. We now have, on data, close to 17 million clients on 4G, 16.7 million to be precise. And also thanks to abundance offers that made the voice-negative trend improve significantly since the beginning of the year. Most countries in the region grew in Q4. The new operations, including DLC, contributed to 1/3 of the growth with booking efforts also in DLC growing by more than 14% and more than 13%. Egypt and Morocco reported also high growth rates at plus 8.7% and plus 4.1% in Q4. And Ivory Coast is recovering from the difficulties that we encountered in Q2, following QIC regulation and the fire we had in a major center. And this helped to come back to a positive territory with a plus 1.8% growth in Q4 compared to full year for Ivory Coast of minus 0.2%. In Africa and Middle East, as a result, the EBITDA grew by 5.2%, and this get us to a stabilized margin rate of 32.1%. Enterprise. So on enterprise, Q4 revenues increased by 1.2% and nearly stabilized on a full year at minus 0.2%. The IT and integration services kept its growth trajectory at 4.9% in Q4. It was fueled by the double-digit growth trend of CyberDefense at plus 12% and cloud business at plus 10% in the full year. Mobile underlying trend stabilized and grew at 2.5% in Q4. Legacy services are still under pressure with voice decreasing by 4.8% and data slightly increasing by 0.1% in Q4. And as already said we had acquisitions supporting this growth with Basefarm Business & Decision. And also, we're floating that as part of this strategic move towards IT and integration services, we won major contracts such as the biggest IOT deployment contract in the LoRa network in France signed with Veolia. The deployment of video conference and [indiscernible] presents the solutions for LoRa with a specific one. And a significant one management and synchronization contract signed with [indiscernible]. In 2018, we also confirmed our leading position in SDWAN as illustrated by the major contract we signed with Siemens this year, amounting to €240 million. Now I'm going to hand over to Stéphane for the guidance, but just before this, I would just briefly summarize how our IFRS 16 and new performance indicators will apply to Orange. Full details were presented three few weeks ago in an analyst education session, which is accessible on our corporate website in a replay mode. So all those who want to have all the details, they can go to this website. First, we are moving from adjusted EBITDA to EBITDA after IFRS 16 release. This will be EBITDAaL for short, EBITDA after lease. Second, in order to monitor our business closer to cash, we are updating our investment indicator. The uptake of fibre in France has steered us towards a model that incorporates the rotation of some assets. For example, the fibre segment connecting the building connecting points to the premises of the customer. We have, therefore, decided to restate our CapEx from sale of these rotating assets and an indicator that we are now calling economic CapEx or eCapEx for short, which also extends for the sake of consistency to all asset classes such as real estate. As a result, operating cash flow is now EBITDAal minus economic CapEx. Lastly, for leverage, we are moving from a net debt to telecom adjusted EBITDA to net debt excluding IFRS lease to telecom EBITDAal look. Combining all these changes, we estimate, as you can see on this Slide 23, the difference between pro forma 2018 EBITDAal and 2018 adjusted EBITDA at around minus €300 million. We estimate the difference between pro forma 2018 eCapEx and 2018 reported CapEx at around minus €200 million. Of course, our guidance on peak CapEx in 2018 will apply to this new indicator, i.e., a reference of around €7.2 billion. The difference between the pro forma 2018 operating cash flow and the 2018 reported operating cash flow is therefore around minus €100 million, with absolutely no impact on free cash flow. And furthermore, there is no significant value difference between the pro forma 2018 leverage ratio and the reported 2018 ratio. With this in mind, let me now turn back to Stéphane for the 2019 guidance.
Stéphane Richard: So let's talk a little bit about 2019. Well, clearly, thanks to the very solid performance that we achieved in 2018. We reiterate the group guidance for 2019, which we provided during our December 27 Investor Day, and that we will now express under IFRS 16. What does that mean? It means that, first, we expect EBITDA after lease to continue to grow in 2019. Of course, if we take into account the 2018 benefit of the ePresse audio book offers that we won't have in 2019, we expect only a slight growth for this EBITDA after lease in 2019. But still a growth. Secondly, economic CapEx will, as promised, start to decrease in 2019. Thirdly, operating cash flow is set to continue to growth - to grow on 2019. Fourth, the ratio of net debt to telecom EBITDA after lease will stay around too. And finally, regarding the dividend policy. The figure of €0.70 per share should be considered as a floor. And by the way, this amount provides a very attractive yield for the share of over 5%. We will set the final amount of the dividend based on actual 2019 results and future outlook. In the meantime, we will pay €0.30 interim dividend in December 2019. And finally, regarding our M&A policy, we confirm our selective approach aimed at strengthening our existing footprints in our core telco business and supporting Orange's diversification into new services. Thanks for your attention, and now we are available for your questions.
Q - Nicolas Cote-Colisson: Nicolas Cote-Colisson from HSBC. [Technical Difficulty] sits on the dividend. But you just mentioned the floor. So I'm just wondering what is required to get too a higher level of distribution for this year? And secondly, on the French mobile premium market, I was wondering if you have adjusted any change in the acquisition and retention costs lately in Q4, and how do you see your handset subsidy policy evolving in 2019?
Stéphane Richard: Well, regarding the dividends, in my view, there is no so much change between what we say today and what we have said previously. I think it's a very important announcement and commitment to deliver a €0.70 floor as a dividend. And it's a clear evidence of the confidence and the trust that we have in our capacity to deliver the performance for this year of 2019. The maybe only, I would not say, change. It's a wording adjustment, I would say, is that we have probably a little less visibility, say, in the markets and the environments of our markets for the next month and the next quarters. And so we want to give you a rendezvous after this year of 2019 where we will see how, especially the big - the two big markets where we operate, France and Spain, will perform in order to set the final renounce. So to say €0.70 is a floor to me is a very important and big commitment of the company and of the management and of the board. And then let's take into account also the - some uncertainties that we have in our global environment to say that in the beginning of 2020 or end of 2019, we will make the final decision in order to set the dividend. Now for the French market, I will ask Fabienne, of course, to provide answers.
Fabienne Dulac: Yes, for the mobile, your questions about the acquisition cost on the Q4. There is no impact, and there is no change in the strategy we have to acquire on the mobile. Even if - and despite - if the market is very competitive, especially on the mobile, there is an explanation, and we don't move the cost acquisition because the strategy we have is supported by convergent. So the growth we record on the mobile is supported by convergence strategy. More and more customers make the choice of convergence, especially in the mobile, that help us to improve the customer mix on mobile. And that help us to develop the proliferations, second-line mobile in household. So we have no more cost acquisition. And we will pursue this strategy. So we think we have no impact even in the handset and on the accessory as you maybe think about it.
Stéphane Richard: Next question. Maybe in London, if we don't have any question in Paris.
Operator: [Operator Instructions]. Our first telephone question comes from Frederic Boulan of Bank of America Merrill Lynch.
Frederic Boulan: Two please. First of all, if you could spend a moment on your positioning in the French market, and your strategy. Here you've been very active in the low end of the market on Sosh in particular, so still accounting for half of your additions. So can you explain a little bit on what you think in terms of pricing and ability to monetize your premium quality in 2019? And then secondly, just an annoying follow-up on the previous question on the dividend. But what you want to see in terms of financial performance in France and Spain to drive a decision to keep on increasing dividend by €0.05 as you've done in last 2 or 3 years. Is it a question of - if you deliver from a revenue and EBITDA perspective in line with your expectations, you will increase? Or you want to see some specific milestones before you do that? So if you could help us a little bit frame how you look at this decision by the end of '19?
Stéphane Richard: Fabienne, for the first question, maybe?
Fabienne Dulac: Yes, in this market, we are the least player exposed to the low-end segment. Sosh represent only 20% of the mobile contract postpaid in the markets while roam, 50%. We are less sensitive to the low-end market because the convergence strategy deliver exactly what we want. So it's why we are sustainable in the value and the volume strategy we deliver. You're right. Sosh is more and more important, significant, but in the same time, more and more customer make the choice of the convergent and, hence, the customer mix. Maybe, one figure to share with you. During - 2,200 during the last year, the customer mix - the mobile customer mix improved 1.9, okay? The high end - sorry, the high-end customer mix improved by 1.9 point in one year, year-on-year. So even if the low-end market's more and more present, Orange maintain the strategy to present volume and value, and value, first of all, thanks to Orange.
Stéphane Richard: Okay. So maybe let's go back to the dividend. Well, first, I want you to take into account and to realize what means a floor of €0.70. I mean, to me it's - once again, it's a very firm and very strong commitment of the company and of the management. And based on the current share price, it offers the yield of over 5%. So this is something in the current times of financial markets, which in my view is very valuable. And everyone should realize what it represents to commit in the beginning of a year, like we are today on this floor. Then regarding the dividend that we'll decide based on 2019 results. First, I want to still remind that the guidance that we provide in terms of revenue growth and EBITDA is still growth. So maybe slight growth, especially for EBITDA after this, but still growth. Once again, there is no difference or not so much difference between what we said previously regarding the dividend and what we say today. What we see is that clearly when we set the dividend, it's based on the year result but also on the future and on the outlooks that we have at the very moment when we set the dividend. Today, we estimate that the visibility in our main markets, and I mention especially France and Spain, is probably weaker, let's say, than visibility - than what it was one year ago or two years ago. And this is basically the reason why we want to take this decision of keeping the same level of dividend or increase the dividend based on 2019 realization and, of course, the future estimates that we'll have at this time. I think everyone can understand this. Once again, it is a very strong commitment to say we will keep the level of dividend that we provide this year. We don't say that we will not grow the dividend. We will say that today, we want to have a better visibility on what we can achieve on 2019 and what will be, I mean, our analysis of the outlooks of our operations later in this year or beginning of 2020 to make the final decision.
Frederic Boulan: Can I ask just a quick follow-up on my first question to Fabienne? You've substantially increased data volumes. In some of your Orange offers, you went from 2 to 5 gig - sorry, from 2 to 10 gig and 30 to 50. Can you talk a bit about the dynamics you're seeing here? Are you seeing upsell, driving higher ARPU or any risk of people trying to optimize with a cheaper bundle? So if you can explain a little bit what's happening here in terms of dynamics?
Fabienne Dulac: It's about mobile only or convergent, your question?
Frederic Boulan: Yes, I mean, you've done that in both mobile and convergent. But just - you've done - in mobile, you've gone from 2 to 10 gig offers for €2 step-up. So if you can explain a little bit what you're seeing in terms of dynamics? Is it driving ARPU? Or if there is any whisk of or any evidence of optimization of customers?
Fabienne Dulac: Yes. As you observe the convergent ARPU increase, thanks - it's important to explain and maybe there is answer to your question. Thanks to the fiber, but thanks to the mobile and to the proliferation of mobile secondary line because when we revamped - we have revamped our offers, remember, last October, we - introducing more flexibility and more flexibility especially in families, which make the choice of Open to buy mobile plan with more data but with more price. The strategy we have to more for more is still sustainable, and we pursue it. And it's exactly what you see in the convergent ARPU increase this year. And I think it's sustainable for the future. On the mobile, yes, the ARPU is decreasing, but it's because the mix is changing with the ways of Sosh. But if you look at the ARPU, the ARPU of Sosh, separately, and if you observe the ARPU of Orange separately, they grow. So I don't see customer make - you know this trade-off - the quality of the network of Orange, the quality of the customer experience are two assets for us. And we will pursue in this way to be sustainable and to offer customers differentiation and to avoid the risk you explain.
Operator: We will now take our next question from Sam McHugh of Exane.
Samuel McHugh: Just first on broadband in France. I think you've mentioned you are now one back in Paris, again. So congratulations. Presumably, the fiber rollout is helping you regain share in urban parts of France. How do you look out ahead of 2019? Do you think kind of the level of broadband net additions you've delivered this year is sustainable again? And then the second is a slightly more convoluted question, sorry. If I look at Slide 12, we can see that your CapEx ex Fibre to the Home continues to go up as a percentage of sales. And I think the implication has just gone up by about €300 million since 2015. Now over that period, you said you've delivered €3 billion of OpEx and CapEx gross savings, some of which is about €600 is CapEx efficiency. So when I do the math, it kind of says CapEx ex fiber has gone up around €1 billion gross between 2015 and 2018. So my big question is: Why is CapEx going up by so much ex fiber on an underlying basis? And should we expect it to keep going up?
Stéphane Richard: Okay, maybe Fabienne for the first question and then Ramon for the second.
Fabienne Dulac: We are confident to pursue the strategy on the fiber and to have with the fiber the success we record the last year. I think we still have the first-mover advantage in this market not only because we deploy fiber but because all the industry on tool and commercial tool are ready because the footprint - or shop we have in France is very sustainable and help us to sell fiber everywhere, in very dense area, middle dense area and tomorrow in the PIN area. So I'm very confident that convergent and fiber are the two assets for the success of Orange in the following year. In the last year, all competitors were on fiber, Free, Bouygues, SFR. And even this very hot competition, even and despite some very low price pushed by my competitors, you know what I mean, we succeed. It's 580,000 new customers on fiber. It's an improvement of the mix. It's an improvement of the ARPU. So I am really confident on fiber and on convergent because this is a boost element of the success.
Stéphane Richard: Thank you. Ramon?
Ramon Fernandez: So on the CapEx question. I'm afraid it is absolutely impossible to reconcile the gross savings from above the Explore 2020 OpEx and CapEx side. You're talking of CapEx and the net evolution of our CapEx that we are seeing in the past years. And I apologize for this because I know it's complicated for you to keep track of how gross translates into net. The end result is what you see in our CapEx figures. You've seen an increase in our CapEx figures in the past years, reaching to the peak in 2018, it was €7.4 billion, which is going to be in the new aggregate, €7.2 billion, okay? And this is due to, essentially, the acceleration of fiber investment, of course, in France but also in Spain. Even if I think you have noted that for the first time in 2018, investments in Spain, in fiber had been going down. So in Spain, we've done 90% of the job now. And we are now, we have - we're close to having the €16 million fiber coverage in Spain, and also Poland where we have embarked in 2015 in the program of rolling out fiber, which is accelerating - and which is very important explanation of how we went back to growth in Poland in 2018 for the first time in 12 years. So it's a major turnaround in Poland. And this is a result of the convergence strategy where we now have a 60% convergence rate in Poland coming from nearly nowhere two years ago. So it's absolutely a major achievement. When you look at our CapEx, you have around three plus points which are attributable to the fiber program compared to the historical average level of investment. This is what has been driven - or driving our efforts and which is slowly going to be a bit as demanding. But in France, clearly, it's not yet the case. In France, we are still at the time of massively rolling out fiber. 4G is also important. Stéphane said when he was talking previously that when you look at the CapEx increase in 2018, you have roughly - it's nearly all network, and it's roughly half broadband, half mobile. But this is - we are at the peak. We are starting the slow decrease. It is a slow decrease because we have been accelerating these investments. Also in the context, never forget famous new deal we've done in early 2018 in France, where the government decided not to request new financial auction for spectrum in exchange for an acceleration of investments from the four telecom players in France. In this, France was a massive savings, around €800 million that we would have had to pay if not this new deal agreement. But the counterpart was that we committed to accelerated investment. So all in all, I mean, we are very well on track with what we've said in the past 2, 3 years on CapEx. We have been increasing. We are at the peak. We are going to start to decrease and, at the same time, managing to have this massive rollout. So I think it's quite an achievement. Of course, it is demanding. Of course, it's the reason why we have embarked into the Lean CAPEX program. I [indiscernible] on some of the major Lean CAPEX initiatives, but you know just to achieve one single, one gigabox for all the European countries, [indiscernible] Israel also, it's not so easy. Well, this is - it's going to be done, and it will give significant savings. The quick-install and turnkey project to roll out fiber at the lowest possible price, looking at the best practices in some countries, especially in Spain, I must say, we got a lot of inspiration from initially the Jazztel model of rolling out fiber, which has been expanded to the whole our Spain process. And when - we are looking at it for France. So investment is high. It reached a peak. And at the same time, we managed to be the one European player in terms of fiber. We are one. We are one in Europe in terms of convergent player. So it is really the key for the success of tomorrow. And this effort has been paying off. You can see it in the 2018 results.
Operator: We will now take our next question from Jakob Bluestone of Crédit Suisse.
Jakob Bluestone: Just one clarification. Just on the IFRS 16. I think when you did the presentation a few weeks ago, I think you might have mentioned it was €200 million reconciliation between the old and the new sort of definition for EBITDA. And I think in the slides you're saying €300 million. Can you maybe just clarify if that's changed a little bit the way you define that?
Ramon Fernandez: There is no change, but there is a precision. I think - and there was this call three weeks ago. We said that the lease IFRS 16 impact on EBITDAaL would be around minus €200 million. Here, the figure, you're absolutely right, is around €300 million because you have to add, and I think it was mentioned in the call and we said we would give the precise figure today, so this is the time to give it, that you have also to take into account the impact on the comparable basis of the other evolution on eCapEx. And so you have around €100 million, which is the consequence of also switching from the CapEx to eCapEx indicator, which has an impact on the 2018 comparable EBITDA, now EBITDAaL, okay. So all in all, it's a €300 million impact. If it's not clear, I can try and say it again. In French, maybe it will be clearer. But if you got it in English, it's good enough.
Operator: We will now take our next question from Stephan Bayasille of Mainfast [ph].
Unidentified Analyst: Three if I may. The first one is regarding pricing in France. We have seen some lower promotional activity lately. I was just wondering whether it is, for you, some low-end market noise here. Or do you actually observe some, let's say, relevant improvement in the trends? Second question, regarding the outlook for the EBITDA. Are you able to just quantify here more for us some of the moving parts behind such as the VAT savings or perhaps low seizing in banking that you expect in 2019? That could be quite helpful. And actually, since you perform particularly well every first half in France, whether we could be expecting something similar in 2019? And finally, a third one if I may. There has been still some political noise around the copper network deterioration lately. Are you just able to say a few word there? Quantify, I don't know, how bad that is? And whether you've seen this is going to be easily fixed in 2019? Or whether this is something more structural and long term to fix?
Stéphane Richard: Thank you. So first, again.
Fabienne Dulac: On the market. So we don't observe a slowdown in the promotional intensity. From June, we have to face promotion with plan for life, especially for the mobile around €5 or €10. And this is in every day every month. So I don't observe a slowdown in the intensity of promotion on mobile and on the broadband. If you look and if you observe, there is a very high level of promotion on the broadband too and the - and that sorry, and fiber too. With some for-life promotion too. In the same time, we observe the attempt from players to raise the price. And it's what we can observe last months. So we don't believe that the intensity and the aggressiveness on the mobile and broadband is sustainable. And we observe all our competitors are in a difficult position. So we have a resilient strategy focused on volume and value, and we will maintain it in 2019. And we are able to wait and to resist. But I don't observe now, but I think maybe at the end and we - maybe, there will some change in the future. But in the past, and on H2, I don't observe a slowdown in this promotion. Maybe the beginning of the year will change. We observe this point with very cautious.
Stéphane Richard: Ramon, the second question, please.
Ramon Fernandez: On EBITDAaL trend. Well, we're not going to go into detailing H1 compared to H2 in a specific country or not even in specific countries. But maybe what I can say is there is one significant headwind that we have described for 2019, which is the end of VAT ePresse e-book positive impact we had for a small part in 2017, for a bigger part in 2018, which accounted for €160 million in 2018. So this will be out in 2019. So this is the only really significant element which is changing a bit of perspective, and this is why we say we anticipate a slight increase in EBITDAaL in 2019 compared to the acceleration we had in 2018. But it is still growth. Once again, it is growth. So apart from this, I would just say that you've seen on the basis of 2018 that we have this strong dynamic in Africa, Middle East, which is contributing strongly to the performance of the group, and it's a - this is why we are in this region expanding and growing also with a number of initiatives. Spain, of course, is in a more difficult market but is still able to grow significantly EBITDA, EBITDAaL also, also in 2019, okay, because there are a number of sources for growth there that can still be mobilized. France has been extremely resilient in this context, even if there are the headwinds we just talked about. And so there is a broad source of growth in the group, and we are comfortable that we can achieve this fine growth. Now as Stéphane said, these markets are uncertain, and we will see over the year what is the dynamic quarter-over-quarter. Savings, sorry, just to say that this Explore 2020 Lean CAPEX program is a very strong program in the group. We've been working a lot on these programs. I tried to give some examples on the distribution part, on sales, on IT, on network. So there is an ongoing work. We have set new objectives. And so this will also be part of the game. I mean, there is revenue growth, but there is also this optimization of our cost base, which is still going to be a very strong priority for the management team.
Stéphane Richard: Now regarding the situation of the copper network in France. Well, as you know, we faced a difficult situation in 2018, mainly due to severe climatic conditions and events, but also of course, this is a result of the progressive obsolescence of the copper network. And so we had to take an action plan in order to fix this and to get back to the set of indicators set by the regulator, ARCEP. This means also that we had to increase the number of resources that we allocate to the capital network, especially we recruited 200 additional people, technicians, in order to take care of the copper network. We also increased the budgets that we allocate to maintenance while the number of lines is constantly decreasing. So all those actions are, of course, embedded in our OpEx and CapEx plans for 2019. They are not very significant at the scale of what we are doing in France. We are now back to compliance for seven of the indicators set by the ARCEP regarding the service universal prescriptions, which is a very good first step, and we are relatively confident in order to be compliant with the service universal requirements on the next check that would be made by the ARCEP. This being said, clearly, we will have to still focus on the quality of service that we provide on the copper network this year. And we are relatively confident in our capacity to, once again, get back to the level of quality of service that is expected, both by our regulator and by our customers and also wholesale customers. Thanks to this action plan that we decided in late 2018. So no significant impact in OpEx and CapEx budgets this year. But this has been, of course, embedded in our figures.
Operator: We will now take our next question from Andrew Lee of Goldman Sachs.
Andrew Lee: Really one question. Just on the - on your cash generation and just referring to Slide 29 in your deck. So net debt seems to have spiked in FY '18 and is materially worse than where consensus is looking for. Working capital's - just amongst the items, working capital is worse. Other financial items and also change in CapEx payables are worse. So the key question is how much of this is structural versus one-off? And did that debt situation impact your dividend decision?
Stéphane Richard: Ramon?
Ramon Fernandez: You know I'm happy to be the CFO of a company with a debt leverage below two.
Stéphane Richard: And happy to be the CEO also.
Ramon Fernandez: So both Stéphane and I are happy. Yes, yes, this debt level has slightly increased in 2018. But I mean, this is fully in line with our guidance, okay? The guidance is around two, and we are below two. Second, it is not bad news that your debt is slightly increasing when it is in fact investing in the future because we have been, as we all know, increasing our CapEx. And it is true that the cash CapEx part in 2018 has been more important because we do really accelerate. And this is why we can get this broad reach of this broad customer base in Europe but also with 4G. We also made some acquisitions which are going to accelerate the transformation of the Orange Business Services towards IT and integration services. And we know that this is the key for the future. So it has a small impact on the debt level in 2018, but once again, the balance sheet is extremely solid. And I even think I heard from time to time people complaining on the thing that we didn't have enough debt. So we are trying to reach the balance. Probably, with your question, we are on the right side of the balance.
Stéphane Richard: And maybe, Andrew, just to add a word on your question: Is there a link between the debt situation and the dividend? The answer is no. We have plenty of capacity to pay dividend of €0.70 or even more. So to me, it has always been very clear that the dividend must be set according to the economic performance of the company, the EBITDA and cash generation. Thanks God, and thanks to, maybe, the way we have managed this company in the last 10 years, we have a very solid balance sheet. We have a totally controlled debt situation, and we have - it's certainly not in consideration of the debt situation of the company that we will make our dividend decision.
Stéphane Richard: Maybe, one last question.
Operator: Our last question is from Mathieu Robilliard of Barclays.
Mathieu Robilliard: I have two questions, please. First, in terms of the wholesale trends in France. There was a very strong recovery in Q4. And I wanted to understand exactly if we should continue to expect a little bit of volatility on a quarterly basis because the first nine months were not exactly the same. And basically should we expect this kind of volatility for 2019? And more broadly, when I compare the wholesale trajectory to your midterm guidance, are you still expecting wholesale revenues to grow in the next few years? And then second, maybe, coming back to some of the comments around the French competitive environment and how you see it. I think Fabienne very clearly said that H2 was with a lot of competition. There was some prices increases at the beginning of the year. Is it fair to say that the way you think about your guidance on different levels assumes that competitive environment remains tough in terms for 2019 but slightly better than '18? Or am I getting this wrong?
Stéphane Richard: Jerome, Head of Wholesale business unit will answer the first question. And maybe I will take the second question to provide some relief to Fabienne.
Jerome Barré: Yes, Stéphane. Okay. So as you noted, we had a solid performance in Q4 with the growth of 3.4% at group level and 2.8% at France level. In France, your question was in France. So in France, is due to - growth in three - mainly in - mainly three activities: fiber, public-initiative networks and roaming. And this growth - these activities in growth offset - more than offset the decrease of legacy activities such as in Berlin. As you might imagine, these activities will continue to grow. Fiber will continue to grow. PIN will continue to grow. Roaming and visitor roaming will continue to grow. So under all - at a global level, as a result of that, we expect this growth trend to continue in 2019 and the next years. So for your last question, yes, we confirm, yes, the trend of growth for wholesale activities [indiscernible].
Stéphane Richard: Thank you, Jerome. Maybe, I will take the second question just to provide Fabienne - just - I just give you some observations that I can do on this competitive environment. Fabienne has a lot develop this. So maybe that would make a slightly additional flavor. Because it's linked also to our guidance. Your question is more about what is impact of your analysis of the competitive environment of the French market on the guidance. I think that to summarize what - how I see Orange in this market, I would say that we are very ambitious but realistic. And to be honest, I think it would be foolish to imagine that that the competitive intensity, which is one of the highest in Europe, in European markets, that we have today in France, will diminish in any way this year. Of course, if this happens, we will be much more comfortable to reach our targets and maybe to deliver additional growth in 2019. But today, what we see is still a very high number of promotions in this market. We have in France something which is outstanding in Europe, which is life promotions. And all the players in this market are playing this very tough game. Thanks to what we have done, what we have founded at Orange in the past years with fiber, with convergence, with the quality of customer experience, with the renovation of shops, with everything that we have deployed in order to establish a differentiation in the market based on network superiority, which explains the level of CapEx, of course, because we have to fuel this in mobile, in fixed, in fiber. I think that we are solid enough to perform in this market. But yes, we think that it's more realistic and, to be honest, more credible to tell that in this beginning - in the beginning of this year, we don't see any reason to think or to imagine or to hope that the competitive intensity in the French market is going to decrease. So this is the way we have built our guidance. Once again, we are ambitious but realistic, and clearly, we think that the competitive environment in France will remain tough and probably one of the toughest in Europe. But we are very well prepared to cope with this, to resist and, at last, to be the best performer in the market based on our assets. And now of course, if we have an improvement of this competitive environment, it will be clearly a very good news, and it will make us much more, well, comfortable or in a better position in order to achieve our guidance or even to deliver better.
Stéphane Richard: So I think time is over. I want to thank you, all of you, for being there for our - France here in Paris and in London for your attention, questions and trust to Orange. Thank you, very much.